Operator: Good day, ladies and gentlemen and welcome to FuelCell Energy’s Fourth Quarter 2014 Results Conference Call. At this time all participants are in a listen-only mode. Later we’ll conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. As a reminder ladies and gentlemen this conference call may be recorded. I would now like to turn the conference over to Mr. Kurt Goddard, Vice President of Investor Relations. Sir, you may begin.
Kurt Goddard: Good morning and welcome to the fourth quarter and fiscal year 2014 earnings call for FuelCell Energy. Yesterday evening FuelCell Energy released financial results for the fourth quarter and fiscal year 2014. The earnings release as well as a presentation that will be referenced during this earnings call is available on the Investor Relations section of the company website at www.fuelcellenergy.com. A replay of this call will be available two hours after its conclusion on the company website. Before proceeding with the call I would like to remind everyone that this call is being recorded and that the discussion today will contain forward-looking statements, including the company’s plans and expectations for the continuing development and commercialization of our FuelCell technology. I would like to direct listeners to read the company’s cautionary statement on forward-looking information and other risks factors in our filings with the U.S. Securities and Exchange Commission. Delivering remarks today will be Chip Bottone, President and Chief Executive Officer, and Mike Bishop, Senior Vice President and Chief Financial Officer. Now I would like to turn the call over to Chip Bottone. Chip?
Arthur 'Chip' Bottone: Thank you, Kurt. Good morning everyone and welcome. Please turn to slide four, 2014 highlights. We executed on a number of key strategic initiatives in fiscal year 2014, particularly our positioning with utilities as we delivered a 15 megawatt fuel cell park on schedule to one of the largest utilities in the U.S., partnered with the largest independent power producer in North America as they invested in the company and added a new utility customer closing three project valued in excess of $70 million today. During the year we maintained a record 70 megawatts production rate in our North American manufacturing facility, selling all production as planned. Sales mix is improving but included fewer complete power plants than targeted; margins improve with the continuing material cost reductions and greater manufacturing efficiencies, while improving both sales mix and margins will be targets for continued improvements for 2015. Services are a market differentiator for us, an increasingly important component of revenue diversification, growth and increasing profitability. Our services business today is modestly profitable and trending favorably. We look to accelerate this trend during the coming year. Recently we announced expansion plans for our North American manufacturing facility. This is a multi-phase plan that will drive cost savings and provide flexibility for future growth. The Asian capacity expansion initiatives being under taken by our partner POSCO Energy are on schedule and delivering the expected supply chain cost leverage. We strengthened market access through initiatives that included deepening our relationship with NRG Energy, including their direct investment in the company and the execution of a $40 million project finance facility. This partnership is validating our products, services and business model as we work with NRG on a number of projects. These and another strategic initiatives are enhancing the overall affordability and competitiveness of the ultra-clean solutions and services allowing us to offer our solutions on high value projects in key markets as we push to drive top-line revenue growth. I will discuss our markets and outlook in more detail after Mike Bishop, our Chief Financial Officer reviews our financial results for the quarter. Mike?
Michael Bishop: Thank you Chip. Good morning and thank you for joining our call today. Please turn to slide five titled Quarterly Financial Highlights. FuelCell Energy reported total revenues for the fourth quarter of 2014 of $54.4 million. This compares to $55.2 million for the prior year period or $45 million, net of $10.2 million of one-time service revenue recognized in Q4 2013 from the Naphtha service agreement executed with POSCO Energy. For the fourth quarter of 2014 product sales totaled $42.4 million, service agreements and license revenues totaled $6.7 million and advanced technology contract revenues totaled $5.3 million. Gross profit of $6 million for the fourth quarter of 2014 reflects further margin expansion, comparing favorably to $2.6 million for the same period last year. The gross margin percentage in the quarter was 10.9%, more than double the gross margin from the fourth quarter of 2013 of 4.7%. The higher margin in the quarter is reflective of an improved sales mix, which included turnkey projects as well as continued material cost reduction and manufacturing efficiency. Total operating expenses were $10.9 million for the fourth quarter of 2014 compared to $9.5 million in the prior-year period. We have an increased level of commercial activity as we pursue multi-megawatt fuel cell opportunities with utilities, independent power producers and industry. We are targeting operating expenses at this level into 2015. Net loss to common shareholders for the fourth quarter of 2014 was $5.5 million or $0.02 per basic and diluted share. This compares to $10.5 million or $0.06 per basic and diluted share in the fourth quarter of 2013. Adjusted EBITDA, which is a measure of cash flow and is based on earnings before interest, taxes, depreciation, amortization and other income and expense totaled negative $3.7 million for the fourth quarter of 2014, a significant improvement year-over-year compared to the negative $5.6 million for the fourth quarter of 2013. To summarize our focus on the core operations of the business is supporting margin expansion leading to improving EBITDA. Please turn to slide six titled Financial Year financial highlights. Turning to full year results, in 2014 the company reported total revenue of a $180.3 million, compared to a $187.7 million in the prior year. Gross profit nearly doubled to $13.7 million compared to $7.1 million for fiscal year 2013. This trend is important to highlight as with basically flat sales year-over-year we had significantly increased gross margin. Execution on turnkey projects in the U.S. in the second half of the fiscal year led to expanding revenues and margins as illustrated on the middle column of this slide. Net loss to common shareholders for the fiscal 2014 was $41.3 million or $0.17 per basic and diluted share. On an adjusted basis, which excludes net expenses related to the conversion of the 8% convertible notes during the year the adjusted net loss attributable to common shareholders totaled $32.9 million or $0.13 per basic and diluted share. Net loss to common shareholders in the prior year was $37.6 million or $0.20 per basic and diluted share, or on an adjusted basis $36.2 million or $0.19 per basic and diluted share. Now I will transition to slide seven, titled Financial Metrics. Total liquidity at October 31, 2014 was a $151.9 million, consisting of cash and cash equivalents including restricted cash of a $108.8 million, availability on the JPMorgan revolver of $3.1 million and availability of $40 million on the project finance facility extended by NRG. In comparison total liquidity at the end of 2013 was $79.2 million. Accounts receivable increased $10.9 million in Q4, reflecting orders closed towards the end of the quarter. This cash is expected to be collected in the first quarter of 2015. Total inventory of approximately $56 million at October 31, 2014 was consistent with the third quarter. Substantially complete power plants in inventory are expected to be deployed in 2015. During the fourth quarter and for the fiscal year we maintained the annual production volume at 70 megawatts, which was a record level for the company. Total backlog was $333.9 million at October 31, 2014 compared to $355.4 million at the end of fiscal 2013. Backlog includes product sales order of $113 million or 72 megawatts. Service backlog increased to $197 million at October 31, 2014 compared to $167 million at the end of fiscal 2013. Advanced technology contract backlog was $24 million at the end of the fourth quarter compared to $19 million at the end of 2013. Subsequent to year end the United Illuminating contract added approximately $31 million to backlog. These include the 3.4 megawatt turnkey project and a 20 year operations and service agreement. In addition to backlog the company has developed a robust pipeline of projects, which we expect to continue to convert to orders in 2015. I will now turn the call back to Chip. Chip?
Arthur 'Chip' Bottone: Thank you, Mike. Please turn to slide eight, positioning for global growth. We are undertaking a two phase strategic expansion of our North American manufacturing facility in Torrington, Connecticut. This initiative will continue our cost reductions and position our company for future expected growth. We are undertaking this expansion now based on increasing activity levels in our key markets and are prudently leveraging low interest financing from the State of Connecticut. This expansion will contribute to greater operating flexibility and further cost reductions while the financing structure preserves capital. As announced in October phase one adds 90,000 square feet, enabling us to streamline logistic functions, consolidate warehousing and reconfigure existing production processes to improve manufacturing efficiencies and realize cost savings. During Phase 2 as demand supports we will add manufacturing equipment to increase annual capacity from the current 100 megawatts to at least 200 megawatts. Phases 1 and 2 are eligible for a $10 million loan from the State of Connecticut at an interest rate of only 2% repayable over 15 years. Half of each loan is forgivable by meeting predefined job creation or retention targets. In addition the expansion qualifies for up to $10 million in credits that we can use and monetize. Expansion of POSCO Energy’s growing FuelCell campus in Pohang, South Korea is progressing on schedule. The new manufacturing building is complete and production equipment is currently being added. The FuelCell stacking, balance of plant, R&D and office buildings were constructed in prior years. Local production of complete FuelCell power plant is expected to begin in mid-2015. Global production of complete power plants in Asia provides many benefits. These include further validation of our ultra-clean fuel cell solutions; reduce material costs through volume purchasing, the security of a second source supply and multiple revenue streams, including services as our company benefits from POSCO’s market development efforts. Large spread deployment of large scale fuel cell parks in South Korea continues. POSCO has commissioned or has nearly completed almost 100 megawatts of new installations in 2014. Mr. Wang, who was appointed CEO of POSCO Energy last spring visited Denver and Torrington early this month. His visit underscores the vital importance of our fuel cell technology to our Asia partner’s business strategy. We are working together on a number of initiatives to further accelerate the growth in Asia and also on global customers for which we are uniquely positioned. As the graph on the slide illustrates our and POSCO Energy strategy ensures global production capacity will be available to support growth. In 2015 POSCO’s new manufacturing facility will come online and add 100 megawatts capacity to the global FuelCell manufacturing footprint. As such our supply chain volume will increase up to 50%, as production volume increases. In the midterm Phase 2 of our Torrington expansion provides the opportunity to increase capacity further as dictated by demand and POSCO’s new building can accommodate up to 200 megawatts of annual production for a total global capacity of up to 400 megawatts. Please turn to slide nine, high efficiency innovation, in September I was invited to make a presentation at the American Gas Association’s Executive Conference, an event attended by Utility CEO and senior executives. This is an opportunity to explain how our solutions help utilities drive demand for gas while adding affordable and efficient distributed generation. We recently announced a contract with UIL Holdings for an advanced hybrid FuelCell power plant that we refer to as the direct FuelCell Energy recovery generator or DFC-ERG. Our company recognized a sizable potential for this market, has been positioned in to service utilities desire to drive demand for gas and increasingly recognize the value of efficient and affordable clean distributed generation. These factors are working in our favor and driving interest in our solutions. The UIL project exemplifies our execution on initiatives aimed at penetrating new markets with sizeable global potential. Easy to say [ph] that DFC-ERG drives demand for gas while utilizing utilities’ existing infrastructure. The solutions operates at about 62% average electrical efficiency up to a peak of 70% when gas flows are high and replaces combustion-based boilers needed to warm the gas. It enables utilities to add economically attractive and highly efficient clean distributed generation to their portfolios and achieve sustainability objectives. I am pleased to announce for the first time another application advancement of our proven carbonate FuelCell technology platform. The higher efficiency FuelCell, as we refer to it, enhances the affordability of our solutions with partnered applications in the region by increasingly electrical efficiency of our power plants. This product is particularly well suited for utility and data center opportunities that value high electrical efficiency and may have only minimal thermal needs at locations globally with higher fuel cost. For these targeted applications, the levelized cost of energy, or LCOE can be lower than our existing multi megawatt configuration. Essentially a multi megawatt DFC power plant paired with an additional FuelCell module the hybrid solution increases electrical efficiency 27% to 60%, well above the competing technologies in this class. Exemplifying the diverse utility of our core proprietary technology these high efficiencies Fuel cells use our existing component platform. We are in active discussions with perspective customers. Please turn to slide 10, Market Update, our proprietary direct fuel cell power plant support two primary markets, On-Site Combined Heat and Power, or CHP and Utility Grid Support. We are in active discussions with prospective customers in multiple states for on-site CHP projects ranging in size from 1.4 megawatt power plants to 14 megawatt installations for large industrial operation. This includes discussions with customer of NRG Energy. Besides providing customer access the NRG relationship has given us greater financial flexibility in proposing projects with the $40 million project finance credit line extended by NRG. We are currently developing projects where we expect to utilize this facility when the projects come to fruition. Projects under Connecticut’s low emissions renewable energy credit program are progressing. We have received awards for two projects for on-site CHP, both 1.4 megawatt power plants for commercial companies. We are currently working with two prospective customers to finalize contracts and hope to announce these projects in the spring of 2015. We received the third LREC award for the DFC-H2 that is beginning operation at our Torrington facility. In our European served areas we are actively perusing opportunities in Germany, the United Kingdom and Italy. Our high profile sub megawatt installations at prestigious locations at London and Berlin are leading to enquires for megawatt class projects. Our efforts have resulted in renewed European recognition, specific leadership and favorable policy trends. Recent announcements on utility companies restructuring and transformation are favorable for us but took some time. Utilities appreciation for the numerous benefits of distributor generation and our efficient ultra-clean fuel cell technology is continuing to grow globally and activity in our utility grid support market is continuing to increase including discussions with European utilities. Just last Friday, I received notice on one specific project for which we have contract in close to final form, enabling us to move forward. Others are in process as well. Existing utility relationships are helpful in building relationships in the utility marketplace. The Bridgeport Fuel Cell Park was completed on schedule and is meeting our customers’ expectations. Dominion informed me that the park’s availability in excess of 90% is among the highest, in its 23,000 megawatt portfolio. We received three contracts from United Illuminating in calendar year 2014 for more than $75 million of grid support applications. High profile customers like Dominion and UI are validating our solutions and services in the utility marketplace. The company’s proven engineering procurement and construction capabilities are enhancing our reputation for services and our availability to deliver large scale projects on schedule. Our EPC capacities flex in response to growth and we are simultaneously constructing multiple projects. Our expanding manufacturing capacity, successful project execution, world class references, proven EPC capabilities and services place our company in an advantageous position. This is imperative when speaking to prospective utilities with projects valued at tens of millions of dollars with 20 year terms. Building on this enlarged and strengthened foundation for growth we are proposing utility scale projects that we were not in a position to offer just a couple of years ago, improve affordability and competitiveness, execution on projects, reference utility clients and strong global partnerships has now positioned us to bid competitively on utility scale projects. We are currently engaged in active discussions with multiple utilities in the U.S. with projects in the 10 to 30 megawatt range. Demonstrating utilities growing desire to install significant qualities of clean distributed generation and our competitiveness, Long Island Power Authority or LIPA issued 200 million megawatts request for proposal for renewable generation. Along with our business partners we have submitted best and final proposals to LIPA for multiple Fuel Cell parks of 19.6 megawatts each. Our LIPA proposals represent activity in New York, in new geographic markets and highlight the suitability of Fuel Cells for densely populated and land constrained regions like Long Island. Clean distributed generation is valued there for many reasons, high land values that support power generation at minimal footprint, transmission citing -- challenges in support of power production near the point of use, severe coastal weather that supports distributed generation to enhance grid resiliency, continuous power that is not depending on the weather or time of day is also valued. Validated by the Bridgeport fuel cell park we believe that our proposals are very competitive and meet the needs of LIPA’s rate payers. LIPA is holding a public meeting tomorrow, December 17 regarding the proposals although we are unable to comment on the expected time of the utility’s final selection. Our growing pipeline is now in excess of $1.5 billion of potential projects in North America and European served area. Demand for fuel cell parks in Asia continues to be strong and our partner POSCO Energy continues to be actively engaged in developing this large market. As I mentioned services are an important market differentiator that provide many benefits for us. Services enhance the competitiveness of our offerings, keep us closely aligned with our customers and are a growing source of predictable revenue. Most importantly margins continue to expand as we exit early generation contracts and benefit from increasing volume that spreads the service infrastructure cost over our larger installed base. As shown on the slide, $1 of product revenue drives $1 in service revenue for a 12 year project. This increases to a $1.50 in service revenue for a 20 year project, current [ph] with typically utility project which increases the addressable market by $3 billion. Our services business locks in the revenue for extended periods of time. Please turn to slide 11, new markets. Our advanced technology group evaluates new applications for reversible core technologies, opens new markets with strong commercial potential. The company’s proprietary direct fuel cell technology continues to demonstrate versatility in a variety of applications including carbon capture and distributed hydrogen. Over a relatively short time government funding has led to private sector interest in investment. We’re enthusiastic about the private funding because it signals and validates potential of these applications and should accelerate commercialization, solving problems in adjacent markets with our technology, offers additional opportunity for our shareholders by advancing the possibility of new revenue streams with only minimum further investment. With regard to distributed hydrogen applications the pace of Asian and European automakers announcing fuel cell power vehicles is accelerating, necessitating the need for the supporting fueling infrastructure. We have the only solution to supply truly renewable and affordable hydrogen, at the same time having emissions profile lower than any current or expected future regulations. During a successful three [ph] year demonstration our DFCH2 has widely generated renewable electrogenic hydrogen at a hydrogen vehicle fueling station in California. Distributed hydrogen production for industry is a multi-billion dollar opportunity. We are demonstrating this market potential to tri-generation plant at our Torrington manufacturing facility, generated ultra-clean electricity and heat for the facility, plus hydrogen in support of manufacturing processes, while producing cost savings and demonstrating our commitment to sustainability. Both of these vehicular and industrial demonstration units are showcases for the versatility of our core DFC technology and we are pursuing megawatt class applications in both of these potential markets. As shown on the slide our carbon capture technology is developing rapidly. In October we announced a multi-million dollar contract with a global energy company for our work to affordably reduce emissions profiles by integrating DFC power plants with combustion-based large scale combined cycle power plants. Now in advance stages of development our technology is unique as an economically compelling carbon capture solution that generates rather than consumes electrical power. Carbon capture represents a sizable multi-billion dollars market opportunity as illustrated by recent headlines in yesterday’s article in New York Times, and momentum is clearly building in this market. We see strong private sector support for carbon capture initiatives demonstrated by the recent signing of more than 200 companies for the Environmental Protection Agency’s clean power plant. Additionally the largest independent power producer in North America publicly committed to reduce carbon emissions by 90%. EPA Administrator, Gina McCarthy recently became one of our many VIP visitors, who have toured our high visibility Bridgeport FuelCell Park. The administrator whose agency is working to strengthen clear regulations had an opportunity to learn about our power generation solution first hand from Dominion and local legislative officials. Interactions like this are important as we grow awareness in how our products uniquely address energy, environmental and economic policy and challenges. I will turn the discussion back to Mike Bishop, our Chief Financial Officer to discuss our outlook for 2015. Mike?
Michael Bishop: Thank you, Chip. Please turn to slide 12, titled 2015 outlook. We will continue positioning for global growth in 2015, executing on new contracts as well as our cost reduction and expansion initiatives. This will lead to increased competitiveness for our clean, efficient distributed generation solutions. In 2015 we expect to continue production of 70 megawatts annually and sales growth will come from a mix shift towards multi-megawatt projects in North America and Europe, resulting in a smaller percentage of kits and modules. We are targeting here in the range of $50 million to $60 million. Quarterly revenue maybe variable depending on the timing of customer requirements for large multi megawatt orders which we expect to book during the fiscal year. In 2014 we demonstrated our ability to expand margins even with generally flat revenue. With a more diversified sales mix in 2015 we expect margins will continue to expand and we are targeting EBITDA breakeven on a quarterly basis later in the year. We expect to continue favorable profitability trends in the service business supported by three factors. First the fixed cost of service infrastructure will be spread over or absorbed by the growing deployed fleet and an increasing number of service agreements. Second we are winding down or concluding early generation service contracts that do not have attractive margin profiles. And third we expect increasing royalty revenue from our partner POSCO Energy as the Asian market continues to grow. In 2015 we also expect growth of our advanced technology applications as we validate the potential of our carbon capture and distributed hydrogen solutions. We expect to continue to attract additional funding from private industry which generally comes with higher margins than those supported by government fundings. As for operations, as we discussed the annual capacity of our North American facility is currently 100 megawatt and we will begin a multi-year expansion in 2015. We will increase our factory production levels as backlog supports. For 2015 we forecast capital expenditures in the range of $8 million to $15 million. The upper end of this range represent spending for automation equipment and expansion of Torrington that will either occur in late 2015 or early 2016. As we proceed with our Torrington expansion financing from the State of Connecticut will partially offset CapEx spending. In summary our business is well positioned for further execution of our growth plans and achieving sustainable profitability. Operator, we will be happy to take questions at this time.
Operator: Thank you, sir. [Operator Instructions]. Our first question comes from Les Sulewski from Sidoti and Company. Your line is open. Please go ahead.
Les Sulewski: Good morning, thank you.
Arthur 'Chip' Bottone: Good morning, Les.
Les Sulewski: Chip, you mentioned you received awards in two projects for on-site CHP. Can you discuss that and then maybe other opportunities you see there?
Arthur 'Chip' Bottone: Yes, I think you are referring, Les to the comment I made about the LREC program in Connecticut, that comes up multiple times during the quarter and you’re bidding for that and you’re then announced as the awardee of the LREC award. From there we basically finalized the contracts. So we actually got three contract awards, one was our own, as I mentioned in Torrington and then we have two more 1.4 megawatt projects. So we’re working on finalizing contracts with those.
Les Sulewski: And you mentioned that’s north of $75 million in installations, is that correct?
Arthur 'Chip' Bottone: No, no, so the $75 million comment was related to business we have in hand, Les. That’s the business we got from United Illuminating. It’s about 80 -- low $80 million in total revenue from those guys that we will derive. We already have those orders, we have announced those. What I was just talking about LREC is incremental to what -- people ask for a little more transparency, that what you are working on and so our effort there was to put that out there as other projects that we have and we are just finalizing contracts.
Les Sulewski: Okay, got it, and that $75 million is that included in your backlog already?
Arthur 'Chip' Bottone: The $30 million or so is not, everything else is included in the backlog. The last project Mike mentioned, it came in right after the -- it came like in the first or second week of November. So it actually, it would now technically be in our backlog. It wasn’t in the full year backlog; I think it was $30 million.
Les Sulewski: Okay, so then, so looking at the reported product backlog 113, that will be recognized as revenue over 2015 and then $31 million coming in next quarter. Will that -- you’ll see that recognize as revenue for the full year or how do you look at that?
Arthur 'Chip' Bottone: Yeah, go ahead, Mike.
Michael Bishop: Hi, Les, this is Mike. The majority of that will be recognized in 2015 as we execute on that project for United Illuminating.
Les Sulewski: Okay, that’s helpful. And then looking at the advance technologies backlog, what was the driver there, it’s pretty significant increase sequentially, doubling?
Arthur 'Chip' Bottone: Les, this is Chip. We have been working on some pretty big ideas for quite some time and they were generally kind of small in nature, but as I mentioned in here, we have gotten larger contracts throughout this year, which drove up the backlog. It wasn’t just larger actually, it was some different ones. We have got more projects on carbon capture. We did some other things with solid oxide development and some variety of other things that we just -- we had proposed before but just got the award. The activity level of that group is very, very high and I highlighted two specific things, which was really the carbon capture and hydrogen. So we’d expect more project and investments from those going forward as well. I don’t think it was just one year that we look at. We look at this in a very positive trend, and want to continue this.
Les Sulewski: That’s helpful. So you can dive potentially into full scale projects?
Arthur 'Chip' Bottone: Exactly, that’s -- really the way this works is, if you went back to the beginning, some of the early, early projects we did were somewhat demonstration in nature and they turned in to our core business. So we actually see carbon capture and hydrogen as being part of our core business in the future. But they would be megawatt scale projects right off the back. You wouldn’t those in small scale like we did on some of the other things. So will be large tens or millions of dollar kind of project. So if you take carbon capture it’s hundreds millions dollars of project. So we got some work to do but this is -- we are getting some more good traction I think in those additional new spaces for us.
Les Sulewski: Okay. You haven’t tapped into the $40 million finance facility with NRG yet, have you?
Arthur 'Chip' Bottone: We have not as of yet. We have got projects that’s we are working on Les that we may use that facility for those.
Les Sulewski: And that will be mostly projects centered around NRG, or is that to your discretion that other projects involved, or how do you look at that?
Michael Bishop: Hi, Les this is Mike. We can use that credit facility for any projects that we develop. You just have to meet standard project finance criteria, have a PPA with a good creditworthy off take and be proceeding down the development path, but it does not need to be NRG specific project.
Les Sulewski: Okay and then Mike last one from me, when you’re looking at targeting positive EBITDA for the year, for 2015 are we talking about full year positive EBITDA or perhaps back-end, more on the back-end side than in the first half. Can you just walk us through that please?
Michael Bishop: Yeah sure, Les. We’re looking at that quarterly basis towards the second half of 2015. As I said in my remarks as we bring in higher margin turnkey projects in the U.S. and Europe, bring those through backlog you’d expect to see margin expansion and growing revenues during the year which will drive us to EBITDA positive on a quarterly basis.
Les Sulewski: So is this a 20% gross margin business or are we looking out perhaps after 2015, any kind of guidance of what that could substantially -- the potential business size there is?
Michael Bishop: Yeah, sure Les, beyond 2015 we certainly see this as a plus 20% margin business. That obviously includes the turnkey progress I described in the U.S. and Europe as well as continued margin improvement in the service business and you also see a pickup in royalties in Asia as well. Again in 2015 we’re targeting margins in the low to mid-teens and if you do the math around $50 million to $60 million of average quarterly revenue you can take the path to EBITDA positive but certainly beyond 2015 higher margin potential for the business.
Les Sulewski: Got it, thank you so much.
Arthur 'Chip' Bottone: Thanks Les, happy holidays.
Les Sulewski: You too.
Operator: And our next question comes from Sven Eenmaa from Stifel Nicolaus. Your line is open. Please go ahead.
Sven Eenmaa : Yeah, sorry. Thanks for taking my question. First, I wanted to ask in terms of the megawatts recognized in the current quarter, how much of that -- like how many megawatts do you recognize on a percentage of completion basis on turnkey plants? And how do you see that trending in the next couple of quarters?
Michael Bishop: Hi Sven, this is Mike. So in the quarter shipments totaled about 18.8 megawatts. The majority of those shipments were related to kits and modules to POSCO Energy and that revenue gets recognized upon shipment. Also coming through revenue recognition in the quarter was revenue on a percentage of completion basis related to projects which we announced during 2015. So the UI projects announced earlier in the year and we talked about Universal Bridgeport as well those projects are coming through revenue on a percentage of completion basis.
Sven Eenmaa : Got it and then you guys had a nice improvement in service margins in the current quarter. How should we think about the service margin trajectory in ’15?
Michael Bishop: So we expect continued improvement in service margins as I described. You’ll see the growing fleet contribute obviously, growing royalty revenue in Asia contribute and as we exit some of our early legacy units those -- that margin which is relatively low margin goes away; so continued margin improvement from the service business in 2015.
Sven Eenmaa : Okay and the third question I have is in terms of the LIPA projects. I know you mentioned that you can’t exactly comment on the time when it will be announced but in your EBITDA guidance a contingent upon winning those projects and by which time this need to be announced for you to be able to recognize revenues from the current fiscal year?
Arthur 'Chip' Bottone: So, this is Chip. Let me just comment on that, so yeah the story there is interesting that we got to this final phase which if you kind of listened to what I said, I picked out the word affordability and competitiveness net several times. I think it supports that statement and because we have non-disclosure agreements in place with this and it’s a public bid we can’t comment on that but I think the short answer is that we’re not fully dependent on that for revenue in 2015 and we got a lot of other things we’re working on as well. And not all of that business would be frankly required in 2015 but if we reject those projects, to Mike’s point earlier we could actually recognize some of that revenue on those projects because of the way we do them and the fact they’re turnkey. So I think we have some flexibility in what Mike has reported as our $50 million to $60 million average quarterly revenue targets.
Sven Eenmaa : Great, and the last question from me is, in terms of the working capital side, is it fair to assume that you will be operating cash flow positive in the next quarter?
Michael Bishop: Hi, Sven. So we haven’t commented on quarterly cash flow guidance other than to say we are targeting EBITDA positive towards the end of 2015. You can certainly see a good trend in reducing negative EBITDA, reported $3.7 million of negative EBITDA this quarter, significant improvement over where we were this time last year.
Sven Eenmaa : Got it, but you will be reducing our accounts receivable in the current quarter right?
Michael Bishop: Sure, yes. So I talked in my remarks about accounts receivables going up about $10 million in the fourth quarter. We expect that cash to be collected in the first quarter of 2015 and then we’ve also talked about the NRG facility as we start to execute on some of the projects that Chip talked about. That’s a source of cash to offset some of inventory as well.
Sven Eenmaa : Perfect, thanks so much. Have a great holiday.
Arthur 'Chip' Bottone: Thank you, you do the same.
Operator: Thank you. Our next question comes from Jeff Osborne from Cowen and Company. Your line is open. Please go ahead.
Jeffrey Osborne: Hey good morning guys. Most of my questions have been answered but just a couple. Wanted to -- following on Sven’s question about the LIPA contract, to better understand if you, to my understanding you are bidding on multiple projects and if you are using a partner versus going straight turnkey EPC would you be able to recognize percent completion in both situations or if you are using a partner would there be some kind of further lag?
Arthur ‘Chip’ Bottone: Jeff, this is Chip. I’ll let Mike chime in as well, but when we say using partners our model is to do turnkey projects. So in all cases today we would get that EPC revenue, Jeff.
Jeffrey Osborne: Okay, I thought a few of the bids had a third party developer, that you are affiliated with, that they were specking in your equipment given that some of parties…
Arthur ‘Chip’ Bottone: In some cases some of the actual construction is not done by us. We have somebody else, perhaps local contractors do that. But it would be controlled by us.
Jeffrey Osborne: Okay, and then on the $1.5 billion in pipeline that you talked about I think last year you had talked about a megawatt number of 600 megawatts. I didn’t know, is the $1.5 billion is that a product and service backlog and can you give us a sense of, has the megawatt pipeline grown over the past 12 months or how does that stand?
Arthur ‘Chip’ Bottone: Yes, first of all it is a sales and service pipeline number, because that’s how we kind of look at our backlog and our revenue, so we’re just trying to do that on equal basis. But the total activity level, particularly in North America is significantly up over prior year, as we said we would do. It’s both in terms of number of projects, Jeff as well as the size of each project. Those two trends continue to be both favorable. So…
Jeffrey Osborne: Good to hear. And I may have missed, I think in response to a prior question you talked about 18.8 shipments, megawatts of shipments Mike but could you just the exact amount of POSCO given you have a specific number over multi years that you have to ship to them, to just kind of track how much is left on that long-term contract that you have?
Michael Bishop: Yes, sure. So kits to POSCO in the quarter Jeff were 9.8 megawatts and then we also shipped 8.4 megawatts of modules. We shipped 6 modules to them in total.
Jeffrey Osborne: Okay, and then I have asked about this, I think in the past couple of calls but can you give us a sense of cash burn expectations for the year but then more importantly if you were to win something with LIPA or any other utility, how has the conversations gone about requirements for restricted cash; I think for Bridgeport it was roughly $1 million per megawatt that you won, and obviously if you are bidding on 19.6 there could be a bunch of cash that gets tied up pretty quickly there?
Michael Bishop: Sure so restricted cash balance subsequent to the first quarter, when we did restrict that cash to Dominion has stayed relatively flat. So as our execution continues to grow on these larger projects we do expect some restricted cash requirements but it not will not be a significant driver of cash use. Again as far as quarterly cash use; strong balance sheet and again we expect to continue to drive down the operating cash use throughout the year and targeting EBITDA positive towards the end of 2015.
Jeffrey Osborne: Just, I guess I am confused when you say significant, I mean if you were win one or two projects of LIPA you wouldn’t expect that you would need to put aside $20 million or $25 million for that?
Michael Bishop: No, would not expect to have that level of secured cash for those types of projects now.
Jeffrey Osborne: Okay.
Arthur 'Chip' Bottone: Just to add to Mike’s comment here. I mean when we did that Dominion deal. There was a big project of course and these other ones will be similar size and dollar value but we didn’t have some of the things in place that we have today. So there was a requirement, or higher requirement to total restricted cash at that time, we didn’t have the second source supply for example in place and all others so. our business continues to develop so our feeling with increased operating history and all these things that we have done with the balance sheet we won’t be in a position to lock up that kind of cash in the future on these projects.
Jeffrey Osborne: That’s great to hear, I appreciate the deal there. Thank you.
Michael Bishop: Happy Holidays Jeff.
Operator: Thank you. And our next question comes from John Markbones [ph] from [inaudible] Securities. Your line is open. Please go ahead.
Unidentified Analyst: Hi, guys. I have just got few questions about the new products and innovations. So maybe if you just start with the energy recovery generator, is that sort of a waste heat energy Organic Rankine cycle based device that attaches onto your most carbonate Direct FuelCell.
Arthur 'Chip' Bottone: It is, let me just explain the process of it. So when you are distributing -- or when you are transporting natural gas you transport that at a fairly high pressure and then you bring it down to distribution levels and typically there is a valve that takes it from high pressure to low pressure. And obviously to do that you have to inject heat, that today comes from boilers, just to expand -- the expansion of that. What we have kind of teed into here is that basically we want to use fuel cell and natural gas and we take the heat that naturally comes out the fuel cell and we use that as the source to keep that expansion process warm and yes in effect you have an expansion turbine on and the receiving part of that as well that basically generates power you could argue for free, other than the amortized cost of the capital across the equipment itself.
Unidentified Analyst: Yeah, that brings me on to the next question, so how much does that affect the LCOE by adding this on?
Arthur 'Chip' Bottone: Well it’s a different value proposition because in everything it depends on the gas flow. In my comments I talked about 62% electrical efficiency on average but it’s depending on how much you get out of the turbine itself. It could be up to 70%.
Unidentified Analyst: And to clarify that 62% for the turbine, and not for the whole system?
Arthur 'Chip' Bottone: No, 62% for the system.
Unidentified Analyst: For the whole system, okay.
Arthur 'Chip' Bottone: Yeah, because don’t forget you got a FuelCell producing power at x efficiency and you effectively have free recovery of electricity, right, output power from the turbine, the expansion turbine.
Unidentified Analyst: Yeah.
Arthur 'Chip' Bottone: So when you put them together you get a number. So the more flow you put past that -- through that turbine you get a higher output and a higher output then raises the efficiency level. So the LCOE can be compelling, when you look those kinds of efficiency levels with really the incremental capital cost being not that high, okay.
Unidentified Analyst: Okay, very interesting. And then on the high efficiency fuel, so is that just an improved version of your molten carbonate fuel cell or is that a different FuelCell technology that or in addition to your molten carbonate fuel cell fuel, I wasn’t entirely clear.
Arthur 'Chip' Bottone: No, it is the same components and everything. It’s just a different application. The modules and things are the same, the cells are the same. This is something we had in mind for quite some time because there is a lot of customers out there that perhaps don’t have a need for heat utility application, that don’t have heat or datacenters that don’t have heat but frankly when you raise the electrical efficiency from roughly 47% without heat to 60 which is 27% increase in efficiency places have high fuel cell cost. If you look at this truly as a financial investment or to your point LCOE kind of a thing, it has a dramatic increase or improvement. So it was right time for us to make this new application available to the market place that frankly increases our competitiveness, as I said before and affordability. It lowers the LCOE fairly significantly when you don’t have to use for heat. Now if you have to use for heat using the current product is fine. So we basically just have a different platform with the same components.
Unidentified Analyst: And can you just clarify, that increase in efficiency that’s by tuning the molten carbonate fuel cell or is that by taking the heat that’s generated and pressing it through a separate process to generate more electricity?
Arthur 'Chip' Bottone: We’re adding another module to the process which effectively recover [ph] some of that heat in a simple…
Unidentified Analyst: So it’s waste heat recovery module?
Arthur 'Chip' Bottone: Yeah.
Unidentified Analyst: Okay.
Arthur 'Chip' Bottone: But it’s a fuel cells compared to an Organic Rankine cycle or expansion turbine or something like that, yeah.
Unidentified Analyst: Okay, great and then my last question is on the tri-generation product, you see there is quite lot of talk in the market about the release of fuel cell vehicles. One of the things that they need is obviously very high purity hydrogen in general. So just wondering what the purity of the hydrogen is that you guys generate and also what do you expect your costs per kilogram to be?
Arthur 'Chip' Bottone: On the purity level, as I mentioned in my comments we already have a plant operating, delivering the purity level that is required for the vehicles. So the purity level that we get directly out of the fuel cell is perfectly fine for the vehicles. So really the question becomes is there are enough vehicles out there that need fuel and can you provide both affordable and renewable fuel which is the Holy Grail of the whole process here right. And really what it comes down to is that you really need to have a certain size production facility or fuel cell so that you can hit on the affordability aspect of that. And then you look at the business model and we’ve come up with a business model and a LCOE on this that is attractive for renewable or frankly even non-renewable fuel because you can reform natural gas today to make hydrogen. The problem with that is the emissions profile. So as long as we can make things in a 3 megawatt size plant which gets you down to roughly in terms of dollars or euros but depending on the rest of the business model, can get you anywhere from $4 to $6 per kilogram fuel that you then need to bring out to a transport state or a dispensing station, the math works. So it’s a little bit longer conversation for the phone call but we have had discussions with different folks including the car companies and they were interested in this and this becomes a chicken and egg. You need to build the plant to a certain size to get the cost but then you got to have to demand to absorb the production. So we’re working our ways to mitigate that process so we can get this implemented.
Unidentified Analyst: Okay, thanks. I wish you luck with that and have a great Christmas and New Year.
Arthur 'Chip' Bottone: Hopefully, I didn’t scare with you with the statistics but…
Unidentified Analyst: No, no, not at all.
Arthur 'Chip' Bottone: Nice holiday to you as well.
Operator: Thank you. At this time I would like to hand the conference back over to Mr. Chip Bottone, Chief Executive Officer for closing remarks.
Arthur 'Chip' Bottone: Thank you to everybody that joined the call today. It was longer than normal but that’s good perhaps and I appreciate everybody’s question and I think it centered around a few things, generally about the affordability or the competitiveness is improving, which is great, obviously the margins. But I guess I’ll just try to summarize things in a few ways and say that the execution on strategic initiatives has improved our solutions competitiveness, as I said and I think that’s verified by things like the interest in LIPA and I can just tell you other customers around the world, we continue to expand the margin. We’ve got some work to do as Mike said, we have a clear path on how to do that, but I mean at the end of the day it’s about improving our margins to get to profitability as a company while we grow the revenue as well. And then finally I guess we want to make sure that we position the company for the future growth, in a prudent approach while we manage capacity, we’ve got this plan out there that doesn’t tie up a lot of our cash and I think other people believe in our story and they support us with support in different ways to help us make that happen. So I would just like to end then and say I’d like to thank everybody for all of their questions today and through all of this year and thank you for your continuous support and wish you all a very, very nice holiday season and we will talk to you after the completion of the first quarter in ’15. Take care.
Operator: Thank you and ladies and gentlemen, thank you for participating in today’s conference. This concludes our program. You may all disconnect and have a wonderful day.